Operator: Good day and thank you for standing by. Welcome to the Shutterstock, Inc. First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. And after the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised, today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Chris Suh. Please go ahead.
Chris Suh: Thank you, Mary. Good morning, everyone, and thank you for joining us for Shutterstock's first quarter 2021 earnings call. Joining us today is Stan Pavlovsky, Shutterstock's Chief Executive Officer; and Jarrod Yahes, Shutterstock's Chief Financial Officer. Please note that some of the information you will hear during our discussion today will consist of forward-looking statements, including without limitation, the impact of COVID-19 on our business, the long-term effects of investments in our business, the future success and financial impact of new and existing product offerings, the integration of the company's strategic acquisitions, our future growth, margins and profitability, our long-term strategy, and our performance targets. Actual results or trends could differ materially from our forecast. For more information, please refer to today's press release and the reports we file with the SEC from time-to-time, including the risk factors discussed in our most recently filed annual report on Form 10-K for discussions of important risk factors that could cause actual results to differ materially from any forward-looking statements that we may make on our call. We'll be discussing certain non-GAAP financial measures today, including adjusted EBITDA and adjusted EBITDA margin, adjusted net income, adjusted net income per diluted share, revenue growth including by distribution channel on a constant currency basis, billings and free cash flow. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures can be found in the financial tables included with today's press release and in our 10-Q, which are posted on the Investor Relations section of our Web site. Finally, please refer to the brief information that we posted on our Web site that contains supporting materials for today's call. And now, I'll turn the call over to Stan.
Stan Pavlovsky: Thank you, Chris, and good morning everyone, and thank you for joining Shutterstock's Q1 2021 earnings call. It's hard to believe that it's been over a year since Shutterstock employees began working from home due to the pandemic. It's been a year of challenges for many amongst us. But as I reflect on the past 12 months, I draw hope and inspiration from the manner in which our employees have risen to the occasion, adapted, and thrived. The strong results we're about to discuss today reflect their hard work and perseverance during these times. With that a backdrop, I want to spend some time commenting on industry demand, and the renewed growth we're experiencing. Then I'll touch on how we are well-positioned to maintain this momentum by delivering product innovation that enhances our customers' workflow, and delivering content that is relevant and fresh. And lastly, I will discuss some steps we are taking to ensure we foster an innovative culture that reflects different backgrounds and perspectives, both within Shutterstock as well as within our artist and contributor community. Broadly speaking, demand is strengthening, and it is clear that we are building momentum as we work our way out of the pandemic. Fourth quarter digital ad spend grew 29%, and independent research analysts forecast broad based rebound in U.S. digital ad spend growth across all industries in 2021, following uneven growth driven by several laggards in 2020. Marketers are spending on powerful content, creative tools, marketing technology, and seeking to create impactful ad campaigns that enhance the digital presence of businesses, large and small. There seems to be growing confidence across industries, even in areas such as automotive, entertainment, media, and travel industries, which were particularly hard-hit last year. This demand backdrop translated into Shutterstock revenue growing 14% in the first quarter, with balanced strength across revenue channels, geographies, and content types. Subscriber trends remain particularly encouraging in terms of both subscriber count, which grew 46%, and subscriber revenue, which grew 20%, driven mainly by continued strength in our smaller subscription products. E-commerce was up 19% in Q1 2021, driven by balanced growth across image, footage, and music, as well as the strong performance of 3D. Even backing out the growth from the contribution of TurboSquid, as well as favorable foreign exchange trends, and an easier March comparable, e-commerce grew double digits year-on-year, and exceeded our expectations. We had noted on the previous earnings call that our enterprise channel returned to growth earlier than expected. We saw that momentum continue with 5% year-on-year growth in the first quarter. U.S., Canada, and EMEA led the way for enterprise growth, driven by an uptick in agency and corporate spend in those regions. Also, within enterprise, there has been greater interest in multi-asset and multifaceted yields that leverage integrated solutions, including our studios and editorial products. Within enterprise, our platform solutions business remains the fastest growing part of our business, driven by growth in both new customers and increased volume through our integrations with existing partners. While overall, we are seeing strong bookings growth in the quarter, as evidenced by the third quarter of deferred revenue growth. We also note that bookings at an industry-by-industry level remain uneven, with some industries such as technology and retail performing well, while others are lagging. As I mentioned at the top of the call, we are delivering product innovations to our customers that enhance their workflows and address their dynamic business requirements. For example, we recently announced the launch of Shutterstock FLEX Subscriptions, targeted at small and medium-sized businesses. FLEX SMB customers get immediate access to millions of images, footage, and music assets, in a single, easy-to-customize plan at one simple price. What I find most exciting from a customer experience perspective is the simplicity. Customers can now more easily license a larger variety of our content with a single subscription, which can be shared with multiple users within the organization. We also announced last week, an exciting new enterprise integration with Google Drive, which helps make Shutterstock content widely available and easily accessible across Google's suite of productivity tools for our enterprise customers. On the content front, we continue to focus on fresh and relevant content to differentiate our product and deliver value to our customers. For example, for our editorial business we announced exclusive rights for the distribution of live and archival content in connection with the Screen Actors Guild Awards. Our topnotch photographers will capture images from all SAG Award events, and deliver content to our customers in under one minute from the time the photo is taken. As in-person events return in the future, Shutterstock will have access to premium locations, and will provide early access to deliver highly valuable content in near real-time. Furthermore, we are now the exclusive global distribution partner for the Condé Nast collection, which features more than 30,000 pieces of content from marquee brands like Vogue, Vanity Fair, GQ, Architectural Digest, House & Garden, and Glamour. This content is now accessible via The Vault at Shutterstock, which itself contains over 50 million assets. In terms of our newest content type, 3D, TurboSquid is performing solidly and above our expectations. There are tremendous untapped synergies and growth opportunities available to us as a result of this transaction, and we are progressing with integrating their 3D content into our offering, so Shutterstock customers can seamlessly purchase 3D. There are several industry tailwinds that are just starting to benefit us in 3D. For example, TurboSquid has benefited from the continued growth in visual effects production in such area as TV and film production and video games. We are also well positioned to benefit from the surging demand from artists who leverage 3D and non-3D content assets for the purposes of creating works of art using Blockchain technology and non-fungible tokens. While we plot our Shutterstock's broader NFT strategy, we are already seeing world-class internationally recognized artists leveraging TurboSquid's unique high quality 3D library to create original content. For example, we are extremely proud that Mike Winkelmann, the digital artist known as Beeple, is an active customer of TurboSquid and leverages our content for his unique and groundbreaking NFT exhibits. He was recently recognized for his collage Everydays, the first 5000 days, at an auction making him among the top three most valuable living artists today. As part of Everydays, Beeple creates and publishes new digital artwork every day. And the project is now in its 14th year which is truly astonishing in terms of its unique approach to digital creation. And finally, I want to talk about team and culture. As you know, we built out our capabilities as a team with key hires over the past 18 months. But this is only the beginning. We also want to augment our ability to make decisions and take purposeful actions that reflect our values. For example, inclusion and diversity are core to who we are as a company. We celebrate and draw strength from our differences whether differences in backgrounds, cultures, or perspectives. We are excited to talk about some of the recent developments and initiatives that reflect our values. Meeckel Beecher joined us as Head of Diversity, Equity, and Inclusion in early April. Meeckel is responsible for implementing our DEI strategy and will be working to support Shutterstock's mission of building a workforce that is representative of the global community we live in and serve. He will also be working closely with Shutterstock's existing employee resource groups such as Shapes, Photo Studios, Women at Shutterstock, Prism, and Seasons. Also in March, we launched our All the Best Artists campaign which showcases eight artists chosen based on factors like their creative specialty and cultural diversity from locales like Thailand, Russia, Sweden, Cyprus, and Indonesia. This campaign features a gallery showcasing their work and is representative of the many diverse artists within our contributor community that are at the core to our premium content offering. We also recently announced the launch of Through Their Eyes, a grant program affiliated with Shutterstock, The Create Fund, to showcase and support underrepresented female and non-binary creators working in areas like illustration, 3D modeling, writing, photography, and videography. Other grants we've announced involved efforts to raise awareness of climate change by supporting artists who portrait our changing environment, break the stigma surrounding mental health, and support older creatives who have their own unique stories to tell. In closing, we feel great about the start to the year. Based on our strong first quarter and higher confidence in the continuation of the economic recovery, we are raising our revenue and EBITDA guidance for 2021. We steadfastly believe that focusing on innovation that enhances our customers' workflow, content that is relevant and fresh, and data and insights that drive performance. We will drive steady revenue growth and consistent margin expansion, and ultimately generate above market returns for our shareholders. With that before turning the call over to Jarrod, I wanted to thank everyone again for joining us today, also, a big thank you to our amazing employees and contributors for helping deliver an impressive quarter. We have exciting plans for the rest of the year as we continue to innovate with new product and content solutions. All of which is delivered by the tremendous efforts of our team. We look forward to updating you as the year progresses. And now, I'll turn the call over to Jarrod.
Jarrod Yahes: Thank you, Stan, and good morning, everyone. Shutterstock grew revenues 14% in the first quarter or 11% on a constant currency basis of our third quarter of accelerating revenue growth. Our revenue growth was broad-based across revenue channels, geographies, content types, and industries. Revenues benefited this quarter from the addition of TurboSquid on February 1, which added 3% to our growth, as well as the impact of foreign currency due to the weaker U.S. dollar, which added 2.5%. Our growth rate also benefited from the comparison to March 2020 when the demand impact of the pandemic had first started to materialize. Stripping out the impact of FX and the TurboSquid acquisition, first quarter growth was approximately 8%. This is a strong data point that demand is strengthening and that is a prime destination for creatives to source digital content. Shutterstock is well positioned to capitalize on the rebound. Both our E-commerce and enterprise revenue channels performed strongly this quarter. Growth was led by our E-commerce channel, which grew 19% or 14% excluding TurboSquid, whereas our enterprise channel grew 5%. We are pleased with the consecutive quarters of growth in enterprise and increasingly confident that the revenue channel has turned the corner in terms of sustainable growth. From a geographic perspective, revenue was up 13% in North America, 16% in Europe and 12% in the rest of the world with increases coming from nearly every country except those in South America. European growth was strong and accelerated from the prior quarter and was also favorably impacted by currency movements. The rest of the world had strengthened Asia and Australia offset by softness in South America due to foreign currency and some country specific demand issues driven by COVID. Gross margins for the quarter were 66% compared to 57% in 2020. There were multiple factors contributing to the improvement in gross margins, including the advancement of technologies, reducing the cost of content ingestion, the annual re-touring of our contributor royalty program on January 1 and lower utilization. While total revenue and subscribers increased year-over-year, our paid downloads declined 2% from 2020. The lower utilization benefited our gross margins in the quarter by 3%. As utilization improves during the year, it will negatively impact gross margins from current levels. Sales and marketing expense was 23% of revenue as compared to 26% in the first quarter of 2020. This decline is driven primarily from our efforts over the past year to reallocate our marketing spend to the channels with the greatest effectiveness. On a nominal basis, sales and marketing spend in the first quarter of $42 million was relatively flat in 2020. So we're seeing operating leverage in our model in terms of sales and marketing expense as a percentage of revenue. Product development as a percentage of revenue declined 200 basis points due to a sharper focus on growth and innovation with fewer resources deployed towards the remediation of tech debt. Our product development spend of $10.7 million is up 9% sequentially from the fourth quarter of 2020. G&A expenses were 17% of revenue, down from 19% of revenue in the first quarter of 2020. On a nominal basis G&A expenses of $30.7 million were flat from the first quarter of 2020. So we are seeing operating leverage in our model in terms of G&A as a percentage of revenue. The expansion of adjusted EBITDA margins to 30.8% resulted from the combination of accelerated revenue growth, upside in gross margin and operating leverage across all major expense categories. For the first quarter, GAAP diluted EPS was $0.79 and adjusted diluted EPS was $0.98 representing growth of 558% and 277% respectively. Turning to our balance sheet and cash flows, at the end of the quarter, we had $364 million of cash down from $429 million at December 31, 2020. The $65 million decline in cash is driven primarily from the acquisition of TurboSquid. Our free cash flow for the quarter was $26.8 million, a year-over-year increase of 334% from the first quarter of 2020, and our operating cash flow more than covered our annual bonus paid in the first quarter. Cash flows for CapEx, content acquisitions or quarterly dividend, and taxes paid on the vesting of our equity awards, which are issued on a withhold to cover basis. Our deferred revenue balance of $154 million increased $4 million from December 31 2020 and $15 million from the first quarter of 2020. The growth in our deferred revenue is a strong leading indicator of the future growth and recognized revenue of our enterprise revenue channel. Turning to our key operating metrics, they were exceptionally strong for Shutterstock during the quarter. Subscriber count increased by 46%, subscriber revenue increased by 20%, average revenue per customer increased by 4%. Paid downloads were down 2%, and revenue per download increased to $3.97 per download. Our image library expanded by 12% and our footage library increased by 17%, our subscriber growth and subscriber revenue growth are driven by demand for prosumer-oriented smaller subscription products, and some of the new products we've brought to market over the past year. Investors should remember that we introduced a range of new video and music subscription products in the back half of 2020 and we'll over the next several quarters lap the introductions of those products and their contribution to our revenues. As a result, we expect subscriber growth and subscriber revenue growth to come down from current levels. With that being said, we're continuing to drive product level innovation to pivot our business towards a subscription model and introduce new subscription products. For example, we're excited about the launch of our Shutterstock FLEX Subscriptions for small and medium sized businesses and have already seen good demand signals in the market. That product will have a more positive impact on subscription revenues than subscriber growth as it is an enterprise product. Finally, I'd like to review our revised guidance for the year. Based on the results from the first quarter and a greater level of confidence for the remainder of the year, we're increasing our full-year revenue, adjusted EBITDA and adjusted earnings per share targets as follows. Revenue of $720 million to $730 million, representing 8% to 9.5% annual revenue growth, adjusted EBITDA of $171 million to $177 million with margin expansion against the prior-year ranging from up 50 basis points to up 100 basis points. Adjusted earnings per share of between $2.78 to $2.93. Looking at revenue growth for the remainder of the year, we expect to see continued steady growth in our enterprise business, the quarterly growth rate of e-commerce will moderate in the back half of the year, as the comparables become more difficult and we lap the growth of some of our subscription, successful product introductions in 2020 as I mentioned previously. With respect to margins implied in our guidance, we expect a 300 to 400 basis point decline in gross margins based on a step-up in earnings tiers achieved by our contributors, as well as expected utilization increases. Sales and marketing spend will increase by 200 basis points as a percentage of revenue as we maximize our opportunity to capture the rebound in demand.  Furthermore, we're hiring aggressively to execute on our business plan, which will increase G&A and product development. We're pleased with our results as a management team and the very strong start to 2021. We're experiencing accelerated revenue growth and based on our revised guidance. We're now confident in delivering another consecutive year of margin expansion. We look forward to reinvesting our resources into new product and constant solutions to continue to meet the need of Shutterstock's customers. Thank you so much for joining us today. We appreciate your time. Operator, we'd now like to open the line for any questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Ron Josey from JMP Securities. Your line is open.
Ron Josey: Great, thanks for taking the question. I appreciate it. Stan, I wanted to ask about the content verticals, you mentioned improving demand across or new content actually advertising verticals, you mentioned improving demand across auto, entertainment, media, and travel, and strengthened the quarter from tech and retail. Can you just dive a little bit deeper here on these recovering trends? And Jarrod, you talked about investing in the Salesforce, just how Shutterstock is positioned as these verticals come back online? And then, Jarrod, you talked about gross margins coming in at close to an all-time high, I believe. And I think you mentioned a few of the drivers, content ingestion, royalty change, and utilization. Can you just talk about maybe, of those three, what drove maybe the outperformance in gross margins? Thanks again.
Stan Pavlovsky: Absolutely. Yes, so we still have, obviously, some uneven trends as it relates to advertising categories, tech and retail, which have fared significantly better, were really no exception as part of our business as well, and where we've seen significant growth. We are starting to see some increased demand in some of the categories that have fared worse over the past year. And for us, one of the clear benefits that we have through introduction of some of our new services is the fact that we've become a turnkey solution for a lot of our clients. So, with the introduction of Studios, with our revamped editorial offering, in addition to our current content offering, we're able to really support all of our customers somewhat differently than we could, say, a year, year-and-a-half ago. And so, it's nice to see that some of these categories are sort of starting to come back. But in no way am I implying that we're sort of out of the woods. There's still a lot of growth to be had in travel, in the restaurant categories, food and service, as well as other categories that have been hurt by the pandemic. Also, geographically we're seeing some unevenness as well. For example, Central and South America continue to be challenged in terms of business growth. And fortunately for us, we have other -- being a global company, we have other areas that are more than making up for that business. But it is nice to see that, on balance, we are seeing definitely a recovery from a year ago. Jarrod, do you want to touch on the gross margin questions?
Jarrod Yahes: Sure. Thanks so much, Ron. And with respect to gross margins, we did see a nice uptick in gross margins year-on-year. I think this was to be expected as a result of the contributor royalty change and the reset that we experienced in January 1 of each year. As you think about the reasons for the year-over-year uptick and the drivers, they are more heavily weighted towards the change in the contributor royalty earnings tiers in the beginning of the year, as well as utilization. I would say they're roughly evenly split between those two, with less of a weightage on the automation in terms of content ingestion and processes. We're also doing some work behind the scenes in terms of lowering our cost of card acceptance in order to try and really drive our gross margins going forward. As I mentioned in my prepared remarks, investors should expect a decline in gross margins as we look towards the next quarter and the back-half of the year, of 300 to 400 basis points. That's coming from the reset in our contributor earnings that we're already seeing in the month of March, as well as expected upticks in terms of demand utilization for our products. So, I think that's something that we have good line of sight and visibility on at this point, hence the reason for mentioning it.
Ron Josey: Great, thanks, Jarrod. And just to clarify, that the decline is a sequential decline in gross margins, correct?
Jarrod Yahes: Correct.
Ron Josey: The three to 400 -- great, thank you.
Jarrod Yahes: Correct, yes.
Operator: Our next question comes from the line of Youssef Squali with Truist Securities. Your line is open.
Youssef Squali: Great, thank you. Good morning, guys. Just two questions on our end here. First, on the enterprise, up about 3% FX neutral, it looks like that's a bit of a slowdown versus what it was in Q4, I think FX neutral was up 4%. And prior to that, it had actually been making some pretty nice steady sequential progress. I was wondering how does that 3% compare with your own expectations, and where do you kind of see the enterprise growth kind of stabilizing as things reopen up? And then on TurboSquid, I was just - Stan, you talked about some of the interesting things that they're doing, including some involvement in the NFT. I was wondering if you maybe can speak to your long-term vision there. How does that new business kind of maybe alter the growth trajectory of your overall business, or is it just kind of too early, too small to really deviate from that? You know, maybe I think you guys have talked about 6%, 7%, 8% growth in the business over time as sustainable. Thank you.
Stan Pavlovsky: Yes. So, Jarrod, do you want to talk quickly about bookings growth in enterprise? And then I'll take the 3D question, the TurboSquid question.
Jarrod Yahes: Sure. So, Youssef, you are correct in that. On an FX neutral basis, there was a slight decline in recognized revenue in the first quarter for enterprise. I don't think that's anything to read into. If you look at our deferred revenue balances, we are seeing continued growth in deferred revenue as we're seeing continued growth in bookings. I think we feel great about the business and the trajectory of the business. And to answer your question, more specifically, I think this quarter's performance for us in enterprise was slightly above our expectations. So, we feel quite good about that. And some of the demand signals that are coming out of the business. I think as Stan mentioned in his prepared remarks, there are certainly industry-specific and geographic-specific pockets of demand, and lack of demand, but all things considered, we are quite pleased with where we are in terms of enterprise and feel good about the sustainability of the revenue growth at this point, the remainder of the year.
Stan Pavlovsky: Thanks, Jarrod. And as it relates to TurboSquid, in 3D, yes, it's been -- it's really been -- a really nice addition to the family and to the content suite. We did see grow that exceeded our expectations, a lot of that is focused on gaming and education categories, particularly with the visual effects and the growth and demand for visual effects. When it comes to NFTs and sort of where this category is going, it's obviously an area that's captured a tremendous amount of interest and attention. We're kind of in the early innings here, Youssef. We're evaluating the opportunity to see how we can participate in the ecosystem. What we do know is that our content plays a critical role in digital art. So we definitely stand to benefit from the demand. We think there's a component where we can really help contributors, we think we can help our customers as well. And so there's, this is something that we're sort of currently evaluating in terms of how we want to approach this opportunity. So we'll have more to kind of report as we make more progress. But I would say it's fairly early in our thinking about long-term what this could mean, and what technologies like NFTs and blockchain could mean for our business.
Youssef Squali: That's helpful. Thank you, guys.
Operator: Our next question comes from the line of John Egbert with Stifel. Your line is open.
John Egbert: Great. Thank you. And I guess this one is for Stan, just following-up on the NFT opportunity. We'll try to keep my head out of the clouds here for the moment. But, obviously, no one knows exactly what the future looks like for digital assets being minted on the blockchain. It's great that it sounds like you're leaning into helping artists with your existing product capabilities and thinking through how you can maybe participate a little more deliberately in the future. I guess just drilling in a little bit more. Do you see a more obvious opportunity among content creators licensing works, that can be used on construction of these assets? Do you think that the opportunity is maybe a little more interesting on working with the artist kind of compiling compositive of images, videos, graphic designs? How are you thinking about, I guess, the two sides of that? And then just in terms of kind of broader looking at the potential to be more of a marketplace for assets like this, is that something that that even comes into consideration?
Stan Pavlovsky: Yes, so we are thinking about it across the two-sided marketplace, John. As you described, there are opportunities for the contributors themselves to sort of help define ownership of assets as well as obviously as a creator to distribute those assets. And then for customers, obviously, it's having similar to collectibles and other categories, sort of having that peace of mind. And having the ability of sort of understanding that, the ownership is clear and defined through NFT's, I think it's something that can create an interesting sort of marketplace. With all that said, there is much to be yet learned and discovered, particularly because content is protected. And so we are, as we're evaluating how we want to sort of help contributors and how we want to help our customers, we want to keep in mind, the fact that whether it's the raw assets, or whether it's a collage or a completed piece of art, there are rules that and protections that we need to sort of keep in mind to ultimately protect our artists. And so, these are all the sort of questions and challenges that we're thinking through around how this part of our marketplace can grow. And so it's, the use cases are easy to define. It's the execution that's a little bit more difficult and challenging because of factors that are more legal in nature.
John Egbert: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Bernie McTernan with Needham & Company. Your line is open.
Bernie McTernan: Great, thank you for taking the question. Just wanted to stick on TurboSquid, just a question on -- are the new customers coming to the platform? Are you growing wallet share within existing customers and the potential for cross sell opportunities? And then also, if they are new customers to the platform, are the economics inherently different than a traditional customer?
Stan Pavlovsky: Yes, great question. I'll let Jarrod touch on the economics, what I can tell you is that historically, working with 3D required a level of and the skill set of a professional creative, and one that has sort of a unique skill set. And so a lot of the customers that we have are new, a lot of the creatives that we've brought to the platform are new. With that said, we do have plans to sort of create 2D versions of our 3D content and introduce that to our existing customers. And there are several other use cases where we feel particularly in the enterprise, where we can provide a wider breadth of content and services for customers that have more sophisticated or unique needs, such as retail, where you can imagine, how this type of implementation can be extremely engaging, drive more sales for retailers, et cetera. So I think it's a really nice extension, and that you're right, it does kind of bring a new customer set to us, but also as it relates to the type of solution that we can in our mission to sort of be a turnkey solution for our customers. This definitely helps to close that loop.
Jarrod Yahes: Absolutely and Bernie, thanks for joining the call. We're really looking forward to working with you and having you cover the company. Just in terms of the economics of 3D content, because there is slightly higher payouts to contributors and biggest there is a higher degree of exclusive content in the TurboSquid marketplace, the unit economics and the gross margin characteristics are somewhat lower than our core business. And I think that's something we knew and understood as we went into this business. Clearly, there's a tremendous amount of effort and expertise that goes into creating these beautiful 3D works of art that are up on TurboSquid and this is ultimately how the contributors are remunerated for the work that they do. We do see these supply continuing to grow significantly in terms of the amount of content that is up on TurboSquid and we're doing a number of things behind the scenes to really try and expand the supply side and build the supply of content for our customers, not only the traditional customers of TurboSquid, but also for some of the interesting use cases that a typical Shutterstock customer would have, whether it would be for Web site creation, whether it would be for digital marketing, whether it would be for streaming or other use cases, outside of the core of gaming and visual effects development for television. So, it is really great to see the supply side picking up, it's great to see some of those new use cases that we're going to make available for that content to be leveraged in. And so we feel very good about TurboSquid, we feel very good about the future of 3D. And we feel very good about the expanding use cases for our customers, as well as the supply side and some of the increased works that are coming into the 3D marketplace.
Bernie McTernan: Great, thank you very much. We really appreciate that and looking forward to working with you guys as well.
Operator: There are no further questions at this time. Now, I'll turn the call back over to Stan Pavlovsky.
Stan Pavlovsky: Thank you so much for joining our call today. In closing, thank you to all of our customers, contributors and employees, 2021 is off to a strong start. And I'm pleased with Shutterstock's position in the marketplace and confident in our ability to thrive in this rapidly changing world. And with that, that ends our call for the day.
Operator: That concludes today's conference call. Thank you for participating. You may now disconnect.